Operator: Good day, and welcome to the Solid Power Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to [ Charlie Van Gother ], Investor Relations analyst. Please go ahead.
Unknown Executive: Thank you, operator. Welcome, everyone, and thank you for joining us today. I'm joined on today's call by Solid Power's President and Chief Executive Officer, John Van Scoter; and Chief Financial Officer, Linda Heller. A copy of today's earnings release is available on the Investor Relations section of Solid Power's website, www.solidpowerbattery.com. I'd like to remind you that parts of our discussion today will include forward-looking statements as defined by U.S. securities laws. These forward-looking statements are based on management's current expectations and assumptions about future events and are based on currently available information as to the outcome and timing of future events. Except as otherwise required by applicable law, Solid Power disclaims any duty to update any forward-looking statements to reflect future events or circumstances. For a discussion of the risks and uncertainties that could cause actual results to differ materially from those expressed in today's forward-looking statements, please see Solid Power's most recent filings with the Securities and Exchange Commission which can be found on the company's website at www.solidpowerbattery.com. With that, let me turn it over to John Van Scoter.
John Van Scoter: Thank you, Charlie, and thank you all for joining us today. We made strong and meaningful progress in 2025, marking an important year of execution for Solid Power. At the outset of the year, we set clear near-term objectives to drive continued innovation and performance in our electrolyte technology, advance our electrolyte development road map, ramp sampling activity while identifying and engaging long-term customers, execute against our agreements with SK On and maintain a disciplined approach to capital and spending. I'm proud of our progress our team delivered across each of these priorities. Throughout the year, we translated strategy into tangible milestones and strengthened our technical foundation. Collectively, our achievements in 2025 advanced our path towards commercialization and positioned us to enter the next phase of growth. Starting with electrolyte sampling, we continued our sampling efforts and saw demand for multiple generations of our material from both existing and new customers. In October 2025, we announced a joint evaluation agreement with Samsung SDI and BMW to advance the development of all solid-state batteries. We view this agreement as validation of our electrolyte sampling efforts. After announcing the agreement, we began executing under the agreement and providing electrolyte to SDI for use in the joint evaluation activities. Turning to our electrolyte development road map. We made progress towards installation of our continuous electrolyte production pilot line. In 2025, we finished ordering long lead equipment and conducted detailed design for the line. We expect to install and commission this line by the end of 2026. This line is designed to support small volume customer programs and allow us to learn and optimize the manufacturing processes ahead of full commercialization. With respect to SK ON, we continue to execute under our agreements, a research and development license, a line installation agreement and an electrolyte supply agreement. These agreements are designed to enable SK On to develop solid-state cells based on our technology and to operate a pilot cell manufacturing line using our electrolyte. In 2025, we completed factory acceptance testing and near completion of site acceptance testing at SK On's facility. This progress demonstrates our ability to deliver against key technical milestones and support our partners' ASSB efforts. Moving on to electrolyte innovation and performance. During 2025, we deepened our understanding of our electrolyte performance, identified process engineering and electrolyte improvements and work to tailor our electrolyte to meet customer specifications. We made this progress through our focus on enhancing feedback between our cell and electrolyte teams and productive customer feedback. Additionally, our cells and solid-state battery technology were demonstrated in a BMW i7 test vehicle in May 2025. BMW's introduction of this test vehicle marked a meaningful achievement in our partnership, and we're proud of our role in this accomplishment. With that, I'll turn it over to Linda to review our financial results and provide an update on our financial discipline goal. Linda?
Linda Heller: Thank you, John. We delivered revenue of $21.7 million in 2025, an increase of $1.6 million compared to 2024. The year-over-year growth was driven primarily by work performed under our line installation agreement with SK On, reflecting continued execution against our customer programs. Operating expenses for the year were $122.6 million compared to $125.5 million in 2024. The year-over-year decrease reflects our cost discipline partially offset by investments in research and development as well as equipment purchases and services performed in support of the SK On agreements. Operating loss for 2025 was $100.8 million and net loss was $93.4 million or $0.51 per share. Turning to capital expenditures. 2025 CapEx totaled $10.2 million, primarily representing costs associated with planned construction of our continuous electrolyte production pilot line. Cash investment, which is comprised of cash used in operations and capital expenditures totaled $84.5 million for fiscal year 2025. This came in at the lower end of our revised cash investment guidance, reflecting our continued focus on prioritization and disciplined capital allocation. Moving to the balance sheet. Our total liquidity as of December 31, 2025, was $336.5 million, an increase of $9 million compared to year-end 2024. As of December 31, 2025, contract assets and accounts receivable were $9.6 million and total current liabilities was $16.8 million. During the fourth quarter, we raised $56 million of net proceeds under our at-the-market or ATM program, bringing total 2025 net proceeds from the ATM to $88.8 million. Looking ahead, we expect 2026 cash investment, representing cash used in operations and capital expenditures to be in the range of $85 million to $100 million. This outlook reflects our continued focus on investing and advancing our electrolyte development road map, including commissioning our continuous pilot line while maintaining financial discipline and preserving liquidity. I will now turn the call back to John.
John Van Scoter: Thank you, Linda. As we look ahead to 2026, we remain focused on disciplined execution, continued advancement of our electrolyte technology and maintaining a strong financial position as we work towards commercialization. First, we intend to strengthen relationships with our partners through continued execution. In 2026, we expect to continue providing Samsung SDI with electrolyte under the joint evaluation agreement while also continuing to develop our technology and pursuing electrolyte innovation. We also expect to complete site acceptance testing of the SK On line in the first quarter of 2026. Following site acceptance testing, we plan to work with SK On to conduct validation activities for the line and begin delivering electrolyte to SK On to support the validation efforts. Second, we will continue executing on our electrolyte development road map. We expect to commission our continuous electrolyte production line by the end of 2026 which we designed to expand our annual electrolyte production capacity to up to 75 metric tons. This year, we also intend to pursue a potential partnership for commercial scale electrolyte production in Korea. To complement our technical expertise, we plan to evaluate potential partners with process capabilities and capital to support construction of a facility capable of producing up to 500 metric tons of electrolyte annually. Third, we are focused on advancing our electrolyte product competitiveness. During 2026, we will continue to enhance our understanding of how electrolyte performs relative to other sulfide electrolyte products to enable customer success in utilizing our electrolyte. We believe this will support our efforts to develop competitive differentiated products and secure long-term customers. To support these efforts, we will utilize our Electrolyte Innovation Center, or EIC, to develop, improve and test electrolyte manufacturing processes as well as electrolyte products. We also intend to continue focusing on our cell research and development activities on improving our understanding of how and why our electrolyte performs in the solid-state cell and using that knowledge to help our electrolyte customers improve their cell development. Finally, we expect to remain fiscally disciplined. We believe maintaining and using our strong balance sheet to best position Solid Power to reach commercialization is critical for our success. During 2026, we intend to balance extending our runway through financial discipline, with investing appropriately in technology development and process improvements. In support of this objective, we successfully completed a $130 million registered direct offering last month which further strengthened our liquidity and enhanced our strategic flexibility. We believe this capital positions us to execute on our objectives while preserving optionality as we progress towards commercialization. I would like to thank our employees, partners and stakeholders for their continued commitment and support. We remain focused on disciplined execution and look forward to continued progress in 2026. We will now take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from Colin Rusch with Oppenheimer.
Colin Rusch: We know that you've been able to produce a set of incremental volumes of material and truly are collecting a fair amount of data around that process. Could you talk a little bit about your cycle times and evolving the manufacturing process at this point? And what other levers you have within the platform to continue to accelerate some of that development?
John Van Scoter: Thanks for joining, Colin. Sure. We've run a variety of batch sizes, which will directly affect the cycle times. We have a very rapid turnaround in our electrolyte innovation center. In that center, we do 2 kilograms or less depending on what the customer request is but we can turn those batches in days. When we look to the larger batch sizes, and we typically run between 40 and 50 kilograms in our current SP2 batch facility, and the cycle times on those run approximately a week, again, depending on batch size and the specific parameters that we're trying to control.
Colin Rusch: Excellent. And then as you look at the different form factors that could deploy the technology at the cell level, could you talk a little bit about efforts that you're seeing on the horizon and interest that you're seeing from incremental customers to diversify some of the form factors you're working on?
John Van Scoter: Great question. But quite honestly, Colin, we haven't seen a great diversification yet, although we could envision as some of these newer segments beyond EV are considering all solid-state batteries that they could take prismatic format or others. Right now, it's primarily pouch across all of our engagements with primarily EV customers.
Operator: Our next question comes from Chris Pierce with Needham.
Christopher Pierce: Just one. I guess if you're talking about -- I just want to make sure I heard you right, the SK On pilot line is up and running by the end of 2026. And what is that -- how should we think about '27 and '28 as sort of we hear more about ASSB batteries in these vehicles and sort of not in the United States part of the world, but other parts of the world. I guess should we think of '27 as a jumping off point? And if we do think of '27 as a jumping off point, against the burn that you kind of guided to for this year, should we think about you guys as having enough capital to get to that jumping off point? Or is there still too involved in here to sort of have certainty around that?
John Van Scoter: Chris, again, thanks for joining. Great questions. I'll take the first part and then let Linda address the second burn rate part of the question. SK On has specifically -- when they did their ribbon cutting at the pilot facility last year stated that they wanted to have SOP for their batteries in 2029 and that's a 1-year pull-in from prior public statements around ASSBs. So I would envision -- I'll let SK On talk to the details, but just knowing what we know about the time and takes to get from where we are to 2029, I would expect 2027 to be, again, a strong development year at the cell level and then probably '28 being more mature leading up to the SOP in '29.
Linda Heller: And then, Chris, in terms of our runway, you have seen us shore this up. We did give guidance for this upcoming year of $85 million to $100 million in terms of cash investment. And then if you look at where our ending liquidity is plus with our proceeds from the RDO, we think we're well positioned to be able to work with our partners and be sufficient on that, but we are continually looking at our runway and ensuring that we can be there for our partners.
Operator: Our next question comes from Jake Sekelsky with Alliance Global Partners.
Jacob Sekelsky: That last question a bit. Looking at the pilot line and the strengthened balance sheet, are you able to leverage the balance sheet at all to kind of accelerate the time line for the line? Or is it less dependent on capital availability.
Linda Heller: Well, Jake, it's Linda again. I believe we are in a good position in our balance sheet that if there were to be an opportunity that would allow us to shorten the time line to be able to be in commercial production. We certainly are there. We can make those long-term investments at this point in time. Obviously, we will continue to be opportunistic in the capital markets and as well, focus on our own cash burn so that we should be in a good place.
John Van Scoter: For clarity's sake, though, the line is installed in SK On's facility in Korea, and they will begin running that line by themselves largely with our just support once SAT is completed. So any additional capital improvements or those sort of things will be their responsibility for that line. But as Linda said, if there's something that we could do to assist, we'll certainly consider that moving forward because of the strength of our balance sheet.
Jacob Sekelsky: Got it. Okay. That's helpful. And then just on existing partnerships, can you just touch on any upcoming milestones you might keep an eye out for as those processes move forward this year?
John Van Scoter: Well, I think we've established through the announcement last fall with BMW and SDI, our preferred approach moving forward to expand these partnerships where we are dealing directly with the OEMs to create the demand in the platforms, but then really have the Tier 1 battery partners step in and provide the batteries with us providing the material and some of the expertise to achieve performance targets. So that's our preferred model going forward, and we would like to duplicate that in other areas as we move forward. I would also, though, point to the comments earlier in the prepared remarks, and that is around our intention to explore potential JV partnerships around the electrolyte manufacturing in Korea with a target of a 500 metric ton annually capacity through a partnership with Solid Power bringing the technical expertise, the IP, the process knowledge and then relying on the partner from a manufacturing and capital standpoint. So that would be the other partnership that I would point to for 2026. I look for some developments there as we move through the year.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to John Van Scoter, President and CEO, for any closing remarks.
John Van Scoter: Thank you for joining the call today and for your interest in Solid Power. We look forward to updating you again next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.